Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2020 L.B. Foster Earnings Conference Call. [Operator Instructions]. And now I'd like to introduce your host for today's program, Mr. Jim Kempton, Controller and Principal Accounting Officer. You may begin.
James Kempton: Thank you, Jonathan. Good evening, everyone, and welcome to L.B. Foster's third quarter earnings call. I'm Jim Kempton, the company's Corporate Controller and Principal Accounting Officer. Also with me today is our President and CEO, Bob Bauer. This evening, I will review the company's third quarter financial results. Afterwards, Bob will provide his perspective on the company's third quarter performance and update you on significant business matters and market developments. We'll then open up the session for questions.  Today's slide presentation, along with our earnings release and financial disclosures, were posted on our website earlier today and can be accessed on our Investor Relations page at lbfoster.com. Some statements we are making are forward-looking and represent our current view of our markets and business today, including comments related to COVID-19. These forward-looking statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise or publicly release the results of any revisions to these statements in light of new information, except as required by securities laws. For more detailed risks, uncertainties and assumptions related to our forward-looking statements, please see the disclosures in our earnings release and presentation.  We will also discuss non-GAAP financial metrics and encourage you to read our disclosures and reconciliation tables provided within today's earnings release and within our accompanying earnings presentation carefully as you consider these metrics.  Before I start the review of the third quarter results, I would like to briefly discuss one other item. We previously announced the equity sale of our IOS Test and Inspection Services business in early September. The sale was part of our strategic exit of the volatile and challenging upstream energy market. As a result of this divestiture, we received $4 million in gross proceeds as well as significant tax benefits, including the acceleration of existing deferred tax assets, which contributed to the $9 million in the income tax refunds we expect to receive in the upcoming year. We are also generating approximately $19 million in future tax benefits, which I'll be touching on further in a few moments. We believe that this sale will allow management to focus more on our core competencies and pursue opportunities which better position the company for success. As a result of this divestiture, we have presented the Test and Inspection Services business as a discontinued operation in the third quarter financial statements included within the earnings release and presentation and have recast prior periods to reflect this change.  My comments today will be focused on our results from continuing operations. So with that, I will start my financial review. For the purposes of helping you understand the underlying business performance, many of our comments today will be based on third quarter results excluding nonrecurring restructuring charges of approximately $300,000 and a nonrecurring income tax benefit of $15.8 million resulting from the sale of the IOS Test and Inspection Services business. As a result, I will refer to adjusted EBITDA, adjusted net income and adjusted diluted EPS during the presentation today. And we'll be discussing the results from continuing operations, unless otherwise noted.  During the third quarter, our sales were $118.4 million compared to $144.8 million in Q3 2019, a $26.5 million or 18.3% decrease. Consolidated gross profit decreased $5.9 million over the prior year quarter. Gross profit margin of 18.6% was a decrease of 70 basis points from Q3 of 2019. The decreases in sales and gross profit in the quarter were due to several reasons. Even though the company was generally considered an essential business and allowed to operate during the pandemic, COVID-19 continued to negatively affect our operating results in Q3. In particular, the pandemic caused reductions in oil and gas production and lowered rail traffic volume, all of which continued to influence our results during the third quarter.  Our Rail Products and Services segment was impacted both in our rail products and our rail technology businesses in both North America and Europe. The Rail Products business sales declined by approximately $1.2 million, driven by lower demand quarter-over-quarter, resulting from decreased transit rail activities. The Rail Technologies business had a decline of approximately $2.6 million in revenues. These results were primarily driven by a weak demand for our solid consumable friction management offerings in North America due to lower rail traffic volumes driven by the pandemic. The declines in revenues, coupled with the mix of products and services, drove the decline in gross profit quarter-over-quarter.  From a Tubular and Energy segment perspective, the challenging dynamics in the oil and gas markets caused by the COVID-19 pandemic have driven the U.S. exploration and production companies to significantly decrease activities and implement spending cuts. These events have driven the 44.9% decrease in revenues quarter-over-quarter. These decreases in sales drove the decline in gross profit in the Tubular and Energy segment of $4.1 million versus Q3 of 2019.  During the quarter, the Construction Products segment was primarily impacted by reduced volumes in our Piling business compared to Q3 2019, which included significant contributions from the Port Everglades project, which was completed in the fourth quarter of 2019. In addition, during Q3, our new precast concrete Boise facility had approximately $1.6 million less revenue when compared to our Spokane, Washington facility in the third quarter of 2019. We are pleased to note that this new plan has achieved our planned expectations for operational efficiencies by the end of the third quarter. While the Construction segment's gross profit declined by approximately $300,000 due to decreases in revenue volume, gross margins for this segment were up approximately 250 basis points for the quarter, despite the impact of the Boise facility ramp-up.  Now moving on to expenses. Our consolidated selling and administrative expenses decreased by approximately $4 million or 18.9% to approximately $17.1 million in the third quarter. Net interest expense was reduced by $138,000 or 12.8% for the third quarter due to a $23.9 million reduction in outstanding debt when compared to September 30, 2019. Our income tax benefit from continuing operations was $13.7 million in Q3 2020. Our benefit from income taxes included a $15.8 million tax benefit resulting from the divestiture of the IOS Test and Inspection Services business during the quarter. An additional $3.1 million benefit from the divestiture was recorded in discontinued operations. As a result, in the aggregate, the income tax benefits from the IOS Test and Inspection Services sale totaled approximately $19 million. In addition to these tax benefits, the company is able to accelerate its existing deferred tax assets and file for tax refunds, with the resulting $9 million of cash expected to be received in the upcoming year.  Our third quarter net income from continuing operations was $16.6 million or $1.56 per diluted share compared to net income from continuing operations of $3.8 million or $0.35 per diluted share last year. Excluding the impact of restructuring costs incurred in the quarter of approximately $200,000 net of tax and the benefit of approximately $15.8 million for the nonrecurring income tax benefit resulting from the disposition of the IOS Test and Inspection Services business, adjusted net income from continuing operations for the quarter was $1 million or $0.09 per adjusted diluted share. Adjusted EBITDA totaled $7.4 million in the third quarter, a decrease of $1.9 million compared to Q3 of 2019. Adjusted EBITDA excludes approximately $300,000 of restructuring costs incurred during the third quarter.  Now turning to the balance sheet. Our trade working capital decreased by $10 million compared to December 31, 2019, mainly due to a decrease in receivables of $12.2 million. The decrease was primarily driven by the decline in sales during 2020 due to the COVID-19 pandemic. Our net debt was $39.8 million at September 30, 2020, compared to $57.6 million at September 30, 2019. Our adjusted net leverage ratio for the trailing 12-month period is 1.1x as of September 30, 2020. Over the last several years, we have strengthened our balance sheet, which should continue to help us to manage through these challenging times and position us well to execute on our strategic initiatives. Our current ratio as of September 30, 2020, is a very healthy 2.05. Our total available funding capacity, that is the available capacity under our revolving credit facility plus our cash, was approximately $79.4 million as of the end of the quarter.  From a cash flow perspective, our cash provided by continuing operating activities in the third quarter was $8.1 million compared to $23.4 million in 2019. However, on a year-to-date basis, cash flows from continuing operations is $16.2 million versus $10.3 million for the 9 months ended September 30, 2019, a $5.9 million increase year-over-year. I'd also like to note this reflects operating cash flow from continuing operations of approximately $32.1 million in the last 12-month period. Our capital expenditures during that time period were approximately $11.2 million, which derives a free cash flow of approximately $21 million. Based on our closing stock price of $13.42 per share as of September 30, that would imply a free cash flow yield of approximately 14.7%.  During the third quarter, our capital expenditures were $1.9 million. The third quarter expenditures primarily relate to our continuous welded railcar and unloader within our Rail segment. I would note that the continuous welded railcar and unloader is a very infrequent capital requirement for the company as these assets have a very long useful life. As of September 30, 2020, we've spent $5.3 million on this railcar, of which $3.5 million has been spent year-to-date in 2020. We anticipate spending an additional $400,000 in Q4 on this railcar, which will be the final payment related to this asset. The railcar has been received and will be placed into service during the fourth quarter. I also wanted to mention that you'll see in the cash flows from continuing investing activities that we paid approximately $1.1 million for an asset acquisition that we made in Boise, Idaho to expand our precast concrete product offerings in that region. We are anticipating our capital spend for continuing operations to be approximately $8.5 million to $9.5 million for the entire year.  Now on to new orders and backlog. In Q3, overall orders were $130.5 million compared to $134.5 million last year with the decline wholly attributable to the Tubular and Energy segment. The Tubular and Energy segment continues to face headwinds due to the drag within the energy market, resulting in a quarter-over-quarter decline in new orders of $12.1 million. Order volume increased in both Rail and Construction segments compared to the third quarter of 2019 by $4.2 million and $3.9 million, respectively. Backlog stood at $235.2 million at the end of the third quarter, an increase of $42 million or 21.7% compared to September 30, 2019, backlog. Most notably, backlog increased by approximately $52.8 million in the Rail and Construction segments versus September 30, 2019, which is a positive sign in these businesses as we move into the fourth quarter of this year and into 2021.  That concludes my comments on the second quarter results. So with that, I will now turn it over to Bob.
Robert Bauer: Thank you, Jim, and hello, everyone. These last several months may have created a new goalpost for defining challenging conditions and makes it even more important that we have great business processes to keep us focused on actions that maximize our performance and provide strength to weather particularly difficult periods.  As you've heard, we continue to operate across all of our locations and have done so with very few health issues and no business interruptions so far. As a company that has exposure to transportation and, to a lesser extent, energy infrastructure, we're currently keeping our playbook in hand that calls for a sharp focus on cost control and actions to maximize cash flow, all while striving to preserve the key growth opportunities we have so as not to lose focus on the long term picture.  The results for both the quarter and year-to-date periods continue to reflect the widely varying impact the virus has had. On one hand, we have an energy business that has been hit hard, hard enough that we finally decided to exit the upstream oil field services market. And on the other hand, we have divisions that are close to their original plans for 2020 as demand for long-term infrastructure improvements has not gone away. Some of this can be seen in the results that Jim covered. I'm going to comment further on this and some other notable achievements and challenges. I'll provide additional context on results, especially comparing the Tubular and Energy segment to the Rail and Construction segments. This is the first distinct cut at the business I continue to point out due to the very unique way the pandemic has affected energy markets versus transportation markets.  In case you weren't able to join us about a month ago, we held an investor call to describe the decision surrounding the divestiture of IOS. We highlighted not only the severe decline in demand for oil and production-related services stemming from reduced travel, but we also described the troubled outlook for service companies like IOS, struggling to make an acceptable return in a market that we anticipate will experience continued volatility and pressure on suppliers. The expected slow rate of recovery in this market, along with ongoing consolidation, customer changes that require capital investment and supply chain pressures, does not make for an attractive segment to deploy both financial and human capital. Now that we have the quarter closed, the reported results are providing more insight on the favorable impact we expected this transaction to have and the contributions to cash flow that will come in the quarters ahead.  So turning to the consolidated results. Although we continued to operate in all locations in the quarter, we did experience a number of production interruptions due to customer delivery schedules changing. And revenue subsequently slipped out of the quarter, keeping our backlog at a more elevated level. Given the volume we lost, I felt like we did a good job keeping gross margins as high as we did.  So here are some of my views by segment. The divisions remaining in the Tubular and Energy segment are still facing a challenging market, as demand for fuel is expected to recover slowly and the midstream market is making adjustments to deal with lower-than-expected volumes in the near-term, which is what caused orders for this segment to decline 50% in the quarter and approximately 50% on a year-to-date basis. We're not quite ready to provide direction on how this market may unfold for us in the coming months. There's still too much uncertainty and customers evaluating changes, as capital spending becomes the predominant lever they can pull to maintain liquidity in a disruptive environment. I think we should have a better handle on this after the next quarter or early next year as travel resumes, and there's some way to project how the recovery may unfold.  Now on the other hand, it's somewhat reassuring to see the ongoing spending in the freight and transit rail markets and other infrastructure-related projects in the other 2 segments of our business. There is still some disruption in ramping up rail services, especially in Europe, which affected our revenue for the quarter, although we have derived some confidence from the fact that our orders had been strong enough to keep the backlog rising. We were particularly pleased with the third quarter segment profit in rail, where margins improved year-over-year on lower sales helped by actions taken to lower expenses and minimize deleverage from the lower volume.  The Construction segment finished with a similar quarter, where segment profit margins improved on lower sales volume. Gross margins improved in the quarter, and the focus on expense control kept this segment profit on par with last year on lower sales. The construction gross margin improvement had everything to do with the big turnaround in our Piling division, which had a terrible quarter last year, when we discussed having cost overruns on the Port Everglades project.  To help illustrate the differences further, here are the year-over-year sales changes by segment. Tubular declined 45%. Construction declined 20%, and rail declined 6%. Those changes reflect a very different market across these sectors. When looking at orders, the year-over-year changes are even more striking: Tubular is down 51%. Construction is up 8.3%, and rail is up 6.6%. Now the positive year-over-year order increase for rail and construction are helped by a somewhat soft quarter for bookings last year. However, it still illustrates the significant difference between how the energy market has been affected by the pandemic versus our other businesses. It also reflects how ongoing spending in rail has provided some support for this sector. And while construction had the Port Everglades project in 2019 for the sales comparison, the orders reflect the picture with some support in this segment compared to prior quarters. Now similarly, on a year-to-date basis, orders for the consolidated company declined 13.8%. But it's important to note that the combined Rail and Construction segments declined by only 5.4%, while the Tubular segment declined 51%.  We are encouraged by the fact that our backlog has remained above $200 million. Compared to this time last year, rail backlog is 24% above that period, and transit projects continue to make up a good portion of that increase, including programs in North America and Europe. Construction backlog is up 37%, above last year, almost $32 million higher, driven by all the divisions in this group. New bridge projects have picked up with some sizable orders that have been booked, and our precast products continue to see steady demand. Some of this year-over-year backlog increase is the result of a strong finish to last year in orders as we booked a number of sizable projects as the year came to a close. The Rail and Construction segments combined are still $31 million above the 2019 year-ending backlog, and that more than offset the $25 million decline in backlog from the Tubular segment since the beginning of the year. And as I mentioned earlier, some of the increase is from projects being pushed out.  I want to circle back on the cash flow comments that Jim made to touch on a few of the highlights a little further. Our year-to-date operating cash flow is $16 million and the trailing 12-month period is $32 million. We now have 2 of the larger CapEx investments behind us that made up a majority of capital spending in 2020. And as we projected last quarter, capital spending would begin to moderate from the first half pace. As we look at the next quarter, we're projecting spending at less than $2 million per quarter, and spending is likely to stay below this level for the next few quarters. We're continuing to fund the exciting growth programs that require capital, and these organic programs remain our top priority for capital allocation.  Following this priority, our free cash flow has been directed toward debt reduction. We're very pleased with our history of achieving free cash flow above $20 million per year for the last 2 years and for the trailing 12-month period as well. Getting our net debt below $40 million this quarter provided a brief moment of joy, and we're aiming to keep it below $40 million as we close the year. We've made some nice progress on debt reduction over the last few years, and this will remain among our top priorities, as will acquisition opportunities that present the right risk profile, ultimately giving us confidence that they will perform as expected.  This has put us in a position where the picture for liquidity looks pretty good. Our leverage ratio is hovering around 1 turn. As we look forward to the coming year, when we expect a $9 million tax refund that Jim spoke of from the divestiture and lower overall tax cash outlays resulting from the tax loss carryforwards, in addition to operating cash flow, we could make some substantial reductions in debt in the coming quarters. Now this assumes we won't find an acquisition that fits our strategy with the right risk profile in the next few quarters and no other changes to our current business portfolio. There are a few acquisition prospects in the early stages of evaluation, but nothing is in the development stage.  We continue to be very cautious with regard to any acquisition, as we recognize the risk associated with forecasts in the current environment. We do see some opportunities emerging where prices for attractive assets may be declining, and this could begin to benefit us as we look out into 2021 and beyond. Our strategic focus in this area remains on Rail Technologies, specifically centered around valuable technologies and services that help rail operators improve efficiency, safety, cost and rider comfort and information. Our other focus supports our scale-out program for the precast concrete business, where opportunities to support general infrastructure projects present a good growth opportunity for us. This market segment has been among our more resilient over the last several years, more insulated from commodity cycles, having double-digit profit margin potential in a fragmented market that creates a lot of potential for growth through served market expansion.  We did spend approximately $1 million in the third quarter for a small acquisition that was part of our scale-out strategy in the Precast Concrete Products business. We acquired an established manufacturer of precast products in Boise, Idaho, where we have moved our precast operations from Spokane. This will give us additional products and an established name in the local market to build on and is expected to immediately bring new local customers to our business.  My last subject I'm going to address is turning to the fourth quarter and some additional comments on the future market outlook. First, we are anxiously awaiting the outcome on additional government support for transportation-related entities as well as whether an infrastructure bill will be forthcoming. The latter has been on the table for some time now, but I think pressure is building, particularly since certain infrastructure operations such as transit rail are in need of assistance due to the impact from the pandemic. But personally, I think something will need to be done with transit rail operators. These systems are vital to the cities they serve, and any traffic recovery back to levels somewhat near previous commuting will require these systems.  Traffic is already improving in freight rail, with both commodity carloads on the rise and intermodal shipments increasing. As the economy has improved since the second quarter, traffic on freight rail has improved. This market and the general infrastructure market, where commercial and civil construction projects appear to be returning, are the 2 segments that look most promising for us in the coming quarters.  I mentioned last quarter that we would be pleased if our backlog remained above $200 million going into the fourth quarter. With a beginning backlog of $235 million and an improving environment with respect to customer delays, we expect the fourth quarter sales to be sequentially better than the third quarter, provided we don't see pandemic-related actions that limit economic activity in the U.K., which just went into lockdown, and in North America. We do expect a tougher comparison for orders in the fourth quarter as we had a really strong fourth quarter last year with bookings. So the year-over-year comparison for the fourth quarter is expected to be negative.  In addition, it looks like year-end capital spending that we sometimes see from customers that haven't fully spent their budget aren't inclined to make up for the spending shortfall with last-minute orders. This will take a little away from book-and-bill shipments in Q4 versus last year, and we should see our backlog decline in the quarter. I think we'll still end the year with close to $200 million in backlog. And barring any weather issues that affect these estimates, we should be in a position to start the year with a good backlog position.  So as I wrap up, I want to conclude by thanking our teams across the world for everything they continue to do to keep us operating safely. This is really an extraordinary year. It's taken some extraordinary measures to deal with it. Well, we're up to the challenge, and we look forward to being an important supplier for critical infrastructure for our customers in the coming quarters.  So with that, I'll wrap up, and I'll return the call to the operator. And we'll be happy to take any of your questions.
Operator: [Operator Instructions]. Our first question comes from the line of Alex Rygiel from B. Riley & Securities.
Min Cho: This is actually Min Cho for Alex this evening. Congratulations on the good new orders and the good backlog in this challenging time. It's nice to see those kind of positives here. But just wondering with the delays that you're seeing in some projects, if you seeing any change in the duration of your backlog.
Robert Bauer: Yes. By change in duration, you're talking about the aging of it in terms of when it would be scheduled to ship.
Min Cho: Yes. So when we actually see it turning into revenues. I think historically, it's been about kind of 6 months or so.
Robert Bauer: Yes. So I think the answer to that is on a limited basis, yes. So what we saw during the quarter was we did see some of that backlog that we thought would go out in the third quarter shift outward. So we originally expected our sales to be a bit higher than they were. So there is some of it that is pushing out into future quarters, but it's not moving a significant amount. But there's enough of it moving where it's affecting sales in the quarter.
Min Cho: Got it. Also, in terms of your construction gross margins, obviously, they were up nicely on a year-over-year basis due to kind of easier comps. They were also up nicely sequentially. And I was wondering, was there anything outside of just cost controls? Is there a mix component of that? And also, are these margins kind of maintainable into the fourth quarter?
Robert Bauer: Well, in terms of mix, I probably wouldn't point to much in mix because our....
Min Cho: Hello? Hello?
Operator: Yes. You're still on the line. [Operator Instructions]. Yes, you may resume.
Robert Bauer: Okay. Min Cho, if you're there, sorry, we lost our connection. But we're back in. I was in the...
Min Cho: I'm here.
Robert Bauer: Okay. I was in the middle of explaining that mix. Normally, with the piling, the piling got a lot better year-over-year because we had this project, the Port Everglades, in last year, and we had some cost overruns on that. So I would say that from a mix standpoint, that didn't affect us too much. But what is going in a good direction is our bridge business. It has a pretty full order book at the moment, and that is a much more profitable business. And so we did have a good quarter with that and a good quarter with precast concrete as well.  In terms of looking forward to the fourth quarter, yes, I wouldn't point to anything that I think is going to be significantly different in that particular reporting segment between Q3 and Q4. So while I wouldn't put an exact number out there, I would say that your comment about should we expect something that is similar, I think the answer to that is yes, it ought to be similar. I don't have any reason to think it would be materially different.
Min Cho: Okay. And I know that in London, your Crossrail project is a fairly large project, and it was impacted in the second quarter by COVID. And you were bringing some people back on at the end of 2Q. Can you talk about how that project is moving forward and if you've seen any recent impacts from the -- or any impact from the recent restrictions?
Robert Bauer: Yes. It is maybe one of the more troubling areas at the moment, and I say that because I think that we were really kind of back on demand meaning that our teams were ramping back up. We were getting back out on-site. Work was resuming, and it looks like we are probably going to run into a few obstacles. Just checking on it this week, we're not entirely sure what's going to happen with a few of the terminal sites that we're working on. It's possible we may not have access to some of them, or there may be some interruption in the schedules. So that is a hard thing to put our finger on right now. But I think based on what I'm hearing that is going on in London and with all of the people in the country, I'm expecting to see a little bit of disruption from this. It's just awful hard to quantify right now.  We have been an essential business in England, just like we have been in the U.S. and Canada and places like that. So we've continued to operate during this period of time. But London has been a particularly difficult situation, and the contractors did pull their teams off of that Crossrail project for a while this year. So again, I think there'll be probably a bit of disruption here in the short term.
Min Cho: Okay. And then just last question, will you be providing some restated financials for your historical quarters? Or are you just going to show them as you're reporting the future quarters?
James Kempton: We'll show them as we go through the quarter. So you'll see when we issue the 10-Q tomorrow that it will reflect the 9-month ended periods for both '19 and 2020 as well as the quarters on that recast basis for discontinued operations.
Operator: Our next question comes from the line of Chris Sakai from Singular Research.
Joichi Sakai: Yes. Just a question on, I guess, on your backlog visibility. Is it -- how much would you say is that backlog going into 2022?
Robert Bauer: Well, I don't know if we could put our exact number on it. We might try to quickly look at something here. There is some going into 2022, but the majority of the backlog that we have will be 2021. There are -- there's probably going to be some bridge shipments that will go into 2022. That is the one division that we have where the backlog probably stretches out the longest, where we have projects that actually go in excess of a year. I can't think of a piling one that's going out that far or any others. I'm looking at Jim...
James Kempton: I think the...
Robert Bauer: Do you have a better ballpark than I might be providing? Or if not, we can always get that to you, Chris, because it's not a big -- a part of that number. But we don't have it at our fingertips right now.
Joichi Sakai: Okay. That's fine. One thing as well, just wanted to get some idea, I guess going forward, what sort of things would be driving the gross profit margin above the 18.6% that it's at now?
Robert Bauer: Well, the kind of things that we are looking forward to driving it above that would be some resumption in, for example, recovery of our friction management business. So let me first just say, I guess, a couple of things about business lines that we have which are accretive from a gross margin standpoint above that 18.9%. Friction management is one. These are the products that we've referred to as having consumables that are used on track for friction control and lubrication control between the wheel and the rails. That business has been soft due to traffic. The recovery of that with traffic, from both freight and a transit standpoint, would help improve margins.  We believe continued growth in our precast concrete product business will help that. That is one of the businesses that continues to grow. We expect that it's going to benefit from the Great American Outdoor Act and some spending that's going to take place in that area, and that probably won't kick in until later in 2021. But businesses like that have good margins.  I mentioned the bridge business a little while ago. We got a nice order book on that. That is accretive to our gross margins, and we continue to win in those areas. And then we're launching a number of new products in our rail technologies basket, along the lines of railway automation systems, disruption management, condition monitoring, passenger information systems, a lot of things like that, which are better margins as well. A lot of that is coming out of our European business, but it's also going into North American customers as well. So those are the ones that will be kind of the top of mind that we'd look to, to drive improving gross profit going forward.
Operator: [Operator Instructions]. Our next question comes from the line of Brett Kearney from Gabelli Funds.
Brett Kearney: Great to hear -- it sounds like you have the Boise facility up and running to the levels you wanted at. And you've been able to bring some new offerings and customer relationships in-house. Can you talk about, I guess, the opportunities you see from here, you outlined a little bit, I guess, whether they weigh more towards organic investments on your side, building out the offerings you have or weighing that relative to the consolidation opportunities you see out there in the marketplace?
Robert Bauer: Yes. And you're specifically talking about the Precast Concrete?
Brett Kearney: Yes. That's right.
Robert Bauer: Yes. Yes. Well, I'll tell you, there are some good organic opportunities. In fact, I think near term, they're really going to outweigh probably the actions that we take from a consolidation basis where we acquire someone and roll it up. That's really going to be -- the latter is really going to be focused on what we call some spokes that can operate off of our hub locations that can get us into some markets that we can't touch from our hub locations. And so a small satellite operation, if you will, that's what I mean by kind of a spoke of that, that may bring to us additional customers we can serve.  But we have organic growth opportunities in the way of some product lines. So what we're doing in Boise is expanding our product lines in that area. We've been doing, I think, a remarkable job on this out of our Texas operations. We have moved into sound barrier walls. That's one of the parts of the DART, the Dallas transit project that we won. Somewhere in the order of $10 million of that is just for the sound wall barriers on it. We have stepped into a septic tank business that we didn't have any of that in the past, and we're in a market where residential and other light commercial construction needs septic tanks. We put that together organically. And we're now going to move into a new geography in that business and open up, for example, a new site that's sitting on the premises of one of our existing other facilities in Texas and start to serve that new market.  And these are taking, I'd say, just kind of a small to modest amount of capital to do that. We're not building new plants or anything like that. We need some delivery trucks and installation equipment and a little bit of work for storage facilities, but those are some examples of some of the things that we're doing organically. So we got a lot of opportunities organically in that business as well.
Brett Kearney: That's great. And then on the transit work, I guess that was already kind of planned and funded and is still going forward with some of your customers. Is some of that in North America systems adopting -- I know the technologies you have with the London Crossrail project are pretty advanced in some of your automation and condition monitoring. Is that gaining traction in North America, your product lines and kind of advanced technology offerings with transit rail systems, I guess, in the U.S. as well?
Robert Bauer: I'm going to have to describe that as really being kind of slow. So one of the -- we've got a couple of things where it's working out a little bit better in the U.K. We do some service work there where we put together integration of some of the more sophisticated systems in the passenger and transit systems like that Crossrail system. That's integration of access control, surveillance and video equipment, passenger, voice information systems, those kinds of things where we do integration work. We really haven't brought that into the U.S. or North American market. Works a little bit different, and we're trying to address that. But that one's really slow going.  Where we are having the success is in the area of crossing detection systems, for example, as well as rockfall and avalanche detection and flood monitoring. So if you think about those, these are applications where, on one hand, we're using LIDAR technology. On the other hand, we're using a variety of other technologies. Those are being used to some extent in transit in England, but we now have those in North America in trial. We've got trial orders. We've got customers that are already starting to deploy it, but we're actually seeing a little more of it in freight rail than we are in transit.  So it's a combination of both, depending on what you're looking for. So for example, flood monitoring and rockfall detection, that's where some freight customers are interested because of the environment they operate in. Crossing detection systems and some of the other automation products, some of that is what we're starting to win at in transit. But we're just beginning to get some traction in those areas now. But we do have examples of sites that we can point to that are mostly in the U.S.
Operator: [Operator Instructions]. And this does conclude the question-and-answer session of today's program. I'd like to hand the program back to Bob Bauer for any further remarks.
Robert Bauer: Well, all right, I want to wrap it up there. We appreciate everybody's time and attention today, appreciate the questions and the interest as well. And we look forward to catching up with you here after next quarter. So thank you very much.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.